Operator: Good day, everyone and welcome to the Globe Specialty Metals’ First Quarter Fiscal Year 2016 Earnings Results Conference Call. This call is being recorded. With us today from the Company is Alan Kestenbaum, Executive Chairman and CEO; and Joe Ragan, Chief Financial Officer. At this time, I’d like to turn the call over to Mr. Ragan. Please go ahead, sir.
Joe Ragan: Good morning and thank you for joining the Globe Specialty Metals’ first quarter fiscal year 2016 conference call. I'm going to read a brief statement and then hand the call over to our Executive Chairman and CEO, Alan Kestenbaum. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Globe's most recent SEC filings and the exhibits to those filings, which are available on our Webpage, www.glbsm.com. In addition, this discussion includes EBITDA, adjusted EBITDA and adjusted diluted earnings per share, which are non-GAAP measures. Reconciliations of these non-GAAP measures may be found in our most recent SEC filings. Now, I will turn the call over to Alan Kestenbaum, our Executive Chairman and CEO.
Alan Kestenbaum: Thanks, Joe and good morning everyone. First, demand from our North American customers has remained broadly stable and most of our end-markets, which include chemical, solar, automotive and construction, continue to perform well. On the other hand, what we did not expect this quarter was the intensity of the emerging market situation that is diversely impacting our overseas sales and directing flows of low price imports into the U.S. So while demand continued to be good in particular from our North American customers as compared to our customers in the rest of the world, these factors have impacted our first quarter performance in the following way; one, reduction in demand from our customers outside of North America; and two, significant pricing pressure from low priced imports. However, we have been here before and know how to manage through these conditions as you have come to expect from us, we don’t sit around waiting and hoping for things to change and keeping with our entrepreneurial hard driving and decisive culture, we have quickly moved this quarter to adapt to these changed market conditions while leading flexibility to reassess as things improve. These changes include, a; continued curtailment of Siltech and partial curtailment in Argentina which have been part of the case due to the aforementioned emerging market impact. This is in keeping with our management principles of managing for maximization of earnings and free cash flow generation. These curtailments do have a course and so there is some impact of this in our results this quarter. We are in the process of significantly reducing carrying cost and we expect to begin to seeing the positive impact from these reductions quickly. B; cost reductions, we identified and we are beginning to execute on approximately $20 million in projected annual run rate savings, some of which will be realized in the current quarter with the bulk expected for calendar year 2016. These are Globe’s standalone and not to be confused with post merger synergies. So far, we had targeted these cost reductions in two main areas; number one, supply chain, including procurement and operational cost of our sub supplied input; and two, reduction in SG&A. We are not stopping we are continuing to target additional input cost such as utility expenses. Calling to this is actually quite favorable as energy costs fall due to declining demand and declining fuel costs. On the other hand to address the revenue size, we have been adjusting our product mix to react to quickly changing market demand. We are gearing towards higher value, higher margin products and focusing on velocity of our working capital. Even in a transitional quarter like this past quarter, these steps have helped us to maintain superior margin performance despite lower volumes and prices. And all of this of course is consistent with our strategy for managing for return on investment and free cash flow generation. This process of cost reduction and reacting to market conditions is continuing at full throttle. We have a lean dedicated organization that is managing through the current environment. If things improve, we expect to be in even better earnings and cash generator due to these cost reductions. Looking at our business and the sector longer term I believe we will remain uniquely positioned within our industry. Our financial condition from a balance sheet perspective is unique and that we had significant dry powder and debt capacity. We are positioned to take advantage of the current environment as we have done in prior troughs by focusing on the strength and opportunistic acquisition opportunities. Many such opportunities are available and we will seek to select the best ones. We are being flooded with M&A opportunities from around the globe with calls from distressed players and panicking bankers. Periods like this are a nightmare for most but an exciting time for liquid and discipline each value buyer and long-term value builders like us. Further, we believe that all of these opportunities will be amplified when we close the pending business combination with FerroAtlántica that remains on track to close in this current quarter. We expect the business combination to help us improve our performance through this low price environment by broadening our international production footprint and driving core synergies. We also expect our significantly enhanced market capitalization and our larger balance sheet will uniquely position us to take advantage of the M&A environment as we focus on long-term shareholder value creation. With that I would like to hand over to Joe to run you through our numbers.
Joe Ragan: Thanks Alan. Let me start with walking you through this quarter’s highlights. On a reported basis, our net income increased to $6 million in the first quarter compared to 1.9 million in the fourth quarter. Adjusted net income decreased 31% to 8 million. Reported diluted earnings per share increased to $0.08 in Q1 compared to $0.03 in Q4. Adjusted diluted EPS decreased 31% to $0.11. Reported EBITDA increased 41% to 24.1 million. On an adjusted basis, EBITDA decreased 22% to 25.8 million. Reported EBITDA margin in Q1 increased by 4% to 13.8% from 9.8% in Q4. Adjusted EBITDA margin decreased by 1.5% to 14.8%. Sales volume was 63,877 metric tonnes for the first quarter and net sales of 174.8 million which was a 13% decrease sequentially. We continue our progress with our cost reduction initiatives through SG&A and supply chain efficiency. We’re seeing a strong cash position with net cash at 9.6 million as of September 30, 2015. The Board of Directors authorized a quarterly dividend of $0.08 per share to be paid on December 23, 2015 to shareholders of record as of December 09, 2015. And the business combination with Grupo FerroAtlántica remains on track to complete by the end of the year next slide. Next the income statement, next slide sales were down in the quarter 13% sequentially and down 15% for the prior year. Gross margin of 18.6% represents a 250 basis points decrease as compared to the previous quarter but still a 40 basis point decrease year-on-year. This performance resulted in adjusted EBITDA of 25.8 million down 22% sequentially and 25% year-over-year. Go on. Looking at the special items for the quarter there were a number of large items or one offs over this quarter. This included the transaction and due diligence expenses that incurred from IOM our silicon plant Quebec silicon plant upgrades and business interruption declined for the quarter. Approximately $7.1 million was spent for transaction cost relating to the merger, $1.3 million were spent to aisle the silicon plant, $2.2 million was spent for Quebec’s silicon plant upgrades and $3.8 million was received in business interruption claims recovery. The result of these adjustments noted on the slide was an adjusted EBITDA for the quarter of $25.8 million down 22% sequentially. Next slide. On a reported basis sales were lower than the fourth quarter of fiscal 2015 however lower cost of goods sold and lower SG&A more than offset making this sales variance in our EBITDA results which were up 21% sequentially when compared to the prior year EBITDA was down 27%. Next slide. Looking at adjusted EBITDA further upgrades you can see EBITDA was significantly affected by competitive pressure on pricing and shipments from imports however as stated earlier this negative sales impact was partially offset by lower operating cost and lower SG&A expenses during the quarter. Next slide. As mentioned earlier we retained a net cash position of $9.6 million for the quarter which was down from Q4 driven by the increase in inventories from the lower than expected sales. We’ll continue to -- our working capital and cost reduction initiatives and project strong cash generation for the balance of the fiscal year. That completes our formal presentation. I would now like to open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Ian Zaffino of Oppenheimer. Your line is now open.
Ian Zaffino: My first question would be Alan you mentioned being opportunistic in this environment and I know you mentioned opportunities around the Globe, but can you kind of give us an idea of maybe something that you’re looking for or something that would fit nicely into your portfolio? And also how does it work as far as timing because you’re in the midst of a pretty large acquisition right now and where is your appetite for further acquisitions and integrations? Thanks.
Alan Kestenbaum: Sure, so first of all in keeping with our historical strategy of keeping the story very-very clear so people know what we actually do we’re going to stay in fields that are synergistic and related to us and approximately use them and build our and we build on platforms. With respect to your other question we do expect to close the merger in the current quarter so in the very near future and M&A activity cannot stop it’s opportunistic and while in a perfect world we’d love to sit in work on synergies and get everything buttoned down and perfect when an opportunity knocks you have to work harder and you have to move quicker and take advantage of deep value over the peers. And so we think that with our -- we’ve done this many times acquiring companies and quickly rolling them into our system and so we feel comfortable being able to extract the synergies that we’ve identified with the current merger and be able to add it to the platform when an opportunity comes down.
Ian Zaffino: And then can you also maybe give us an idea of the imports that you’re seeing in the U.S. come in, are those coming in profitability for the producer and what are these [indiscernible].
Alan Kestenbaum: No, we don’t think they’re coming in [indiscernible].
Operator: Thank you. And our next question comes from Ian Corydon of B. Riley. Your line is now open.
Ian Corydon: A could of questions could you let us know where you stand in terms of booking silicon metal contracts for next year?
Alan Kestenbaum: Yes we’re north of 50% at this point which is pretty typical for where we are at this time of the year.
Ian Corydon: Okay and I am not sure if you want to go into this level of detail, but can you talk about whether your customers are looking for more index contracts or fixed price?
Alan Kestenbaum: Ian keeping with past practice we at this point of the year for competitive reasons we do not give that type of information.
Ian Corydon: And then on Siltech what would it cost to get that plant started again, and can you give us a sense for a range of ferrosilicon prices that it might make sense to start that plant up again?
Joe Ragan: Ian this is Joe. The cost part of it is de minimis we’ve already got all the working capital there as well as some pinch of an inventory so the restart cost is very low but on the pricing side [indiscernible].
Alan Kestenbaum: Yes, so we have to be hard than it is today we always tend to balance between investments and working capital and CapEx and return on investments we had internal threshold capacity met. So when a plant is running you tend to try and keep it going so long as it is profitable but at this stage we would wait till our internal return thresholds and I think we restart that switch back on.
Ian Corydon: And last question is on the upgrades in Quebec could you just talk about what that does, is that for efficiency, does that increase the amount of product you can produce? And that’s my last question.
Alan Kestenbaum: It doesn’t increase yields and that was actually a replacement of some equipment with newer equipments that would increase the yield so we haven’t disclosed exactly what that yield will be.
Operator: Thank you. And our next question comes from Garrett Nelson of BB&T Capital Markets. Your line is now open.
Garrett Nelson: Just looking at the sequential drop in silicon metal shipments versus last quarter, it looks like they were down about 8% while your alloy shipments were down about 16%. Have you actually taken production down by that much and are there specific facilities in addition to Siltech in the back end core upgrades that you referenced where you’ve intentionally taken down your utilization rates?
Alan Kestenbaum: Yes Garrett we have not moved our capacity we did have some timing of the shipments specifically our silicon metal. We did have lower volume from ferrosilicon but the silicon metal was timing it wasn’t related to that.
Garrett Nelson: And then I noticed your SG&A was way down from the level of the past three quarters was that mainly a function of stock-based comp related factors?
Alan Kestenbaum: In the reported result yes normalized it was lower just compensation, so [indiscernible] justice there.
Operator: Thank you. [Operator Instructions] And our next question comes from Vincent Anderson of Stifel. Your line is now open.
Vincent Anderson: Just going back to Siltech really quick, are you actually able at this point to and willing at this point to use the downtime of that plant to bring on any specialty alloy capacity?
Alan Kestenbaum: I am not sure I understand your question.
Vincent Anderson: When you initially purchased the plant you had said that it would have initially produced commodity grade ferrosilicon with longer term outlook towards bringing on more specialty alloy capacity at that facility. Is there any plan to pursue that?
Alan Kestenbaum: There are plans to pursue it, but not in the immediate future.
Vincent Anderson: Okay, great. Thanks.
Alan Kestenbaum: And just to elaborate on that a little bit, we did in Argentina reduce production at that facility and we do have some capacity there and we had a lot of experience there in producing some of the specialty alloys that you’re referring to. So I think before we would get Siltech up in that direction we would fill out our capacity in Argentina. And what’s interesting also it’s a bit of an anecdote on Argentina we took some production back based on I think on the pricing environment and as soon as we did that some of our customers who were telling us they used to buy at a certain price we said sorry we’re not -- we can’t sell at that price and they quickly said well what products would you sell that and we actually push some price increases through. And we actually started getting to a more sold out position. So that recovery for that silicon facility is occurring we balance that with some political -- there is a political environment in Argentina they just have some elections which we think will favorable to us from a production perspective specifically with respect to laws that require inflationary adjustments to salaries that are based on the currency. So we hope soon to be able to benefit from a retrenchment in some of those regulations and get the benefit of the severely depreciating currency in Argentina and then push out to more of these specialty alloys that you’re talking about.
Vincent Anderson: And if I could just ask a follow-up really quick you had mentioned Alan following the announcement of the merger with FerroAtlántica that these bolt on acquisitions that you’ve been really made a name -- done well doing with Globe with the scale of the new firm the bolt on acquisitions would probably fade away and you’d be looking towards larger scale. Is that still the current plan or you have the change in the market conditions that gotten you excited about smaller acquisitions right out of the gate?
Alan Kestenbaum: Well, let’s say it like this the size of the acquisitions in terms of the assets are the same size they’re just going to be a lot cheaper and so we won’t hesitate to add them on and what we call them bolt on because they’re smaller in dollar size or larger because they’re more substantial in terms of referencing the size of the new company and we’re going to pursue those acquisitions because this teach us how important this position is well for the future.
Vincent Anderson: And actually just one quick one after that, with the environment that you’re seeing in M&A are you prioritizing that over deleveraging following the merger?
Alan Kestenbaum: I think we’ve had enough to address that question at this point.
Operator: Thank you. And I am showing no further questions at this time. I’d like to turn the conference back over to Mr. Kestenbaum for closing remarks.
Alan Kestenbaum: Just want to thank everybody for participating this morning. And we will continue to execute and look forward to speaking with you next time.
Joe Ragan: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Have a great day everyone.